Operator: Ladies and gentlemen, thank you for standing by and welcome to Uxin’s Earnings Conference Call for the Quarter Ended December 31, 2020. At this time, all participants are in a listen-only mode. And after management’s prepared remarks, there will be a Q&A session. Today’s conference call is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the call over to your host for today's conference call to Eric Yuan. Please go ahead sir.
Eric Yuan: Thank you, operator. Hello, everyone. Welcome to Uxin’s earnings conference call for the quarter ended December 2020. On the call today are D.K., Founder and CEO; and Zhen Zeng, our CFO. D.K. will review business operations and the company highlights, followed by Zhen, who will discuss financials and guidance. They will both be available to answer your questions during the Q&A session. Before we start, I would like to remind you that this call may contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. These statements are based on management’s current knowledge and assumptions about future events that involve known or unknown risks and uncertainties, which could cause actual results to differ materially from those in the forward-looking statements. Uxin does not undertake any obligations to update any forward-looking statements, except as required and under the applicable law. For more information about the potential risks and uncertainties, please refer to our filings with the SEC. With that, I will now turn the call over to our CEO, D.K. Please go ahead sir.
Kun Dai: Thank you, Eric. Hello everyone. Thank you for joining our earnings conference call today. We are pleased to report that we have completed our strategic transformation into an inventory only model in the quarter ended December 31, 2020. The majority of online new car transactions in December were sold from your own inventory. This successful transaction reflects our commitment and ongoing efforts to better serve our customers with our online products and services. Operating as a national-wide online used car dealer we have our own inventory. We now have much strong control and the management over the entire services and supply chain. From the selection and quality of our used cars inventory to online car consulting for buyers and customer services and our own delivery and after sales services national-wide. To strengthen our ability to provide a youth car of the high quality and value for money, we are building our own inspection and reconditioning center or IRC, where we can refer selected in inventory to like new condition. Our first IRC in Xi’an has been operating since March 2021. Through our news network of IRC we can reflect the facilitator in house refurbishing for better control of quality and consistency so that the used car will sell meet our own quality excellent standards. We are also able to better serve the market within the services, reviews of each IRC location. Moreover with this ongoing improvement to our products and services offerings we have been closely monitoring our net promoter score or NPS. We have seen our NPS increase to 42 during the reporting quarter up from 30 in the quarter ended September 30, 2020 and only 10 in the quarter ended June 30, 2020. The significant improvement in NPS is the re-combination by our customers of our value proposition that we are providing even higher quality, value for money used car and best in class online car services. It also gives us greater confidence that we have the right development strategy in place and are heading in the right direction with our online business. The increasing NPS score has also strengthened our [Indiscernible] referral strategy will provide a form of foundation for further development and will generate a solid and sustainable long term growth, reinforce our brand and market position in China. China used car market has huge growth potential and the Chinese government continues to introduce preferential policies for the industry. The value added tax on used car sales has been cut to 0.5% from 2% in May, 2020. The General Office of the State Council has recently required all regions to remove restriction on cross region transactions and the title transfer of used car. The government has also published its blueprint for the digital documentation of used car. Registration and other documentation will be completely digitized for online transmission and recombination. This will simplify the documentation process, reduce title transfer costs, and increase efficiency of cross region used car transactions. Digital documents will be in testing, in design region in June, expanded to major cities in September and will be adopted national wider in first half of next year. As the leading online used car dealer in China, Uxin believes these policies will create a more efficient and sustainable environment for the used car business in the long run. We will closely monitor government policies, improve vehicle quality and develop services to our high level to contributed to the transaction of China used car industry. Last week we entered into a strategic partnership with JD.com to launch our self operated online store for used car transactions through JD's platform. The collaboration will provide customers with one stop online used car purchases solution include a used car inspection, purchasing insurance, and after sales services and includes plan for joint development of data management technology, inspection standards and integrated supply chain in the used car business. We are committed to using big data and internet technology to empower the used car industry in order to raise industry standard and the level of services. We believe cooperation with JD.com will offer our customer a higher quality and more reliable use compromising experience that exists in the market as present. As a result we are very pleased with the progress we have made this quarter. We are also encouraged by the recombination of our success by two well established Asia formed and we have entered into a binding term sheet for a potential investment of up to $300 million. This investor have expressed a strong belief in the potential of China used car market. They have acknowledged the Uxin’s leading market position, strong branding and capacity to provide a high quality cars and services to customers. We are glad that they also share the same risk factor for Uxin’s business model, growth and execution plans. Now financing is proceeding as expected. We will work closely with these investors to transform China used car industry and create long term value for our customers. With that, I'd like to turn the call over to our CFO to walk you through the financial results. Zeng please.
Zhen Zeng: Thanks D.K. Hello everyone. Thanks for joining us today. I will walk you through the financial results for the quarter ended December 31, 2020. Our online used car transaction volume was 2,307 units this quarter. The majority was sold from our own inventory. Since we have shifted to an inventory only model, our revenue recommendation and the structure of costs and expenses are more in line with our industry peers. We believe this will facilitate the understanding of our business and our financials. Also since we have settled the majority of our remaining liability in July 2020, from this quarter the impact of the discontinue to loan facilitation business on operating expenses has been minimized. As a result our financial performance will better reflect our core business. Moreover during this quarter, we improved overall potential operational efficiencies through strict cost management. We target to grow the business at the most efficient cost level. We believe our ongoing cost saving efforts will be productive and abundance our financials in the coming quarters. Now let me walk through the financial details for the quarter ended December 31, 2020, which is the third quarter of our fiscal year 2021. All numbers are in RMB unless otherwise stated. Total revenue were RMB323 million. This is recognized on a gross basis as a result of the transformation into the inventory only model. Our total 2Q revenue was RMB303 million. The majority of the revenue coming from our vehicle sales. Gross margin was 2.9% compared with negative 22.4% last quarter and 59.2% in the same period last year. Due to the adoption of the inventory only model, revenue recognition and the components of cost were significantly different from the corresponding period in 2019 and also the last quarter. However, we believe this is more comparable with our industry peers. With the transformation completed, we expect that gross margin will rise gradually in the coming quarters. Total operating expenses was RMB188 million compared with RMB318 million last quarter and RMB862 million in the same period last year. Total operating expenses decreased mainly due to our continuing actions in cost and expenses cutting and also the decrease in the last related to [Indiscernible] liabilities for historically facilitated loans. To talk more about the cost and expenses, we also improved overall operational efficiencies through various cost management. As part of our strategy, we aim to grow our business at a most efficient level. The marketing expenses decreased by around 50% year-over-year, van expenses and the professional fees decreased by 72% compared with the corresponding period in 2019. Due to the adoption of the inventory only model, the most salaries and benefits for employees engaged in car sourcing, inspections, after sales services have been reclassified as sales and the marketing expenses whereas before such items were classified as cost of revenues. So labor expenses, overall speaking the labor expenses of a total operating expenses this quarter may not be comparable with previous quarters. Overall speaking, costs and expenses excluding severance pay, the labor costs decreased by 63% year-over-year and a 9% a quarter-over-quarter. Looking ahead, we believe our ongoing average cost and expensive saving will be productive and benefit our financials in the long run. Non-GAAP adjusted loss from continuing operations excluding the impact of share based compensation was RMB162 million for the three months ended December 31, 2020 compared with RMB178 million last quarter and RMB577 million in the same period last year. The net loss was RMB173 million for the three months ended December 1, 2020 compared was RMB259 million last quarter and the RMB967 million in the same period last year. About our cash position. As of December 31, 2020 we had cash and cash equivalents of RMB288 million compared with RMB219 million as of September 30, 2020. Assuming the potential investment of up to $300 million is completed, our cash position will be significantly improved. We believe that this will help remove the ongoing concerns on continuing operation. This investment is a subject to the company's fulfillment of the terms in the financial sheet. That sums up our results for the three months ended December 31, 2020. Moving to our guidance. The quarter ended March 31, 2021 was the traditional offseason in Chinese used car market due to the spring festival holiday. With the adoption of the inventory only model, we expect our total revenue to be in a range of RMB119 million to RMB200 million for the three months ended March 31, 2021 with continued focus on cost and expense management. Its gross margin is expected to increase to around 5% and the non-GAAP adjusted loss from continuing operation is expected to be less than RMB110 million. The forecast reflects our current and preliminary views on the market and also the operational conditions which are subject to changes. That concludes our prepared remarks. Thanks. 
Operator: Thank you. [Operator Instructions] Our first question comes from the line of [Indiscernible] Capital. You line is open. Please go ahead.
Unidentified Analyst: Hi, everyone. Thanks for taking my question. We're happy to see the work you've been doing and your strategic transformation. Would you give us more color on what's happening with your IRC in Xi’an, your inspection reconditioning center? Thank you.
Kun Dai: [Foreign Language] Thanks for your question. For Xi’an IRC, we started to select the location and construct from December 2020 and put it into operation in the past March. The IRC covers the area of approximately 24,000 square meters including an official warehouse zone and refurbish zone. Once completed the IRC can hold over 1,000 [Indiscernible] making it the largest flagship store of used car in Northwestern China under a single brand. So currently we have already stored hundreds of vehicles in the exhibition hall. The IRC is scheduled to officially open for business this May. This year IRC represents a major breakthrough in our business development as a nationwide online used car dealer allowing us to have much stronger control over the entire service and supply chain providing our customers with used cars of high quality and value for money as well as our full range of solutions. [Foreign Language] In terms of re-consulting, our team is doing that job in about 40 cities across China with only about 20% finally admitted to our in-house inventory. So every single week in our inventory has to pass more than 300 tests during the inspection process. So leveraging our professional testing equipment and extensive inspection know how, we effectively help customers choose cars of good quality. Meanwhile we also apply our in-house to develop the technologies to refurbish the vehicles to further enhance their quality before they go to market. At same time our Xi’an IRC serves multiple functions such as warehousing, inspection, refurbishment and a vehicle demonstration. It also provides vehicle registration services offering customers one stop car purchasing experience. Local customers can come to our IRC and check out the car in person. They can also pick up the car off site rather than wait for delivery. Overall the development of Xi’an IRC is in line with our prior expectations and we believe it will positively contribute to the development of the used car market in Northwestern China once it is officially launched. Thank you.
Operator: Thank you. Ladies and gentlemen that does conclude the conference for today and thank you for participating. You may now all disconnect.